Operator: Good afternoon and welcome to the Net1 results conference call. (Operator Instructions) At this time I would like to turn the conference over to Dhruv Chopra. Please go ahead sir.
Dhruv Chopra: Thank you. Good morning and good afternoon to our investors around the world. Thank you for joining us for the fourth quarter 2009 and full-year 2009 earnings call. On the call with me today are Dr. Serge Belamant, our Chairman and CEO and Herman Kotze our CFO. Both the press release and our Form 10-K are available on our new website at www.net1.com. As a reminder during this call we will be making forward-looking statements and I request you to look at our cautionary language contained in our press release and Form 10-K regarding the risks and uncertainties associated with forward-looking statements. In addition during this call we will be using certain non-GAAP financial measures and we have provided a reconciliation of these measures to the most directly comparable GAAP measures. We will be discussing our results on a constant currency basis. As we analyze our results of operation in our latest 10-K and in our press release in South African Rand to assist investors in understanding the changes in the underlying trends of our business. As you know the company’s results can be significantly affected by currency fluctuations between the US dollar and the South African rand. Let me now hand the call over to Serge Belamant.
Serge Belamant: Thank you, Dhruv. Good morning and good afternoon to all of you. Overall we produced another strong quarter, which was driven primarily by our core business. We believe that we continue to execute on our long-term strategy by making progress on expansion both within and outside South Africa, on rolling out new and expanding existing products and services, and of course buying back material amount of our own stock. For the fourth quarter and the full-year of 2009, we reported revenue of $62 million and $347 million respectively representing 5% and 19% constant currency year-over-year growth. Fundamental EPS for the fourth quarter and full-year 2009 was $0.38 and $1.47 respectively which is a decline of 1% for the quarter and growth of 16% year-over-year on a constant currency basis. The weaker South African rand versus the US dollar during both periods adversely impacted our dollar based results by 6% and 23% respectively. As of June 30, 2009 we had $221 million of cash on the balance sheet having generated $107 million in operating cash flow during the fiscal year 2009. We are comfortable with our cash and cash generation potential and as disclosed earlier this month we repurchased 9.2 million shares from Brait and its affiliates for $125 million. I will now address the key strategic trends in our business before handing over to Herman, who will discuss our financial results in fiscal 2010 guidance. Starting with our South African pension and welfare business, effective April 1, 2009 we entered into a new one-year contract with SASSA. Under the terms of the new contract we grant SASSA a concession on price in exchange for the elimination of our pre-funding requirement. In addition we have moved to a standardized passing formula earning a flat fee per beneficiary paid versus different passing methodologies in each of our provinces previously. The net financial impact of the changes in our contract is negligible to the bottom line, as a modest reduction in our associated revenue and operating profit in offset by our interest income and the lower share count. During the fourth quarter of 2009, we were still able to grow our core pension and welfare revenue including merchant acquiring by over 10% year-over-year on a constant currency basis. Similarly, during the fourth quarter we kept our transaction based activities, operating margin flat year-over-year at 59% despite incurring one-month of free funding cost, which was offset by the continued migration of our pensioners to our merchant acquiring network. Looking forward, we are confident that we will remain an integral supplier of social welfare grants in South Africa, despite the short-term nature of the contracts governing our pension and welfare business for the past several years. The new administration in South Africa is publicly communicated, two key initiatives to the public. First, to continue widening the social welfare net as a tool to alleviate poverty; and second improve efficiencies in the distribution of social grants, also which we can have government deliver. Over the next 12 months, SASSA is expected to issue a new tender but we believe our current contract expiring March 31, 2010 is likely to be extended given further potential delay. To conclude on our pension and welfare business in fiscal 2010, we expect to generate modest revenue growth in the segment while earning growth should be greater driven by the expected increase in a number of beneficiaries on welfare, as well as continued migration to our merchant infrastructure. Longer-term, we are poised to benefit from governments continued efforts to widen the welfare net and assist its efforts to improve efficiency by leveraging our technology platform on a national basis. Moving to our other South African initiatives, EasyPay continues to gain share in the merchant processing industry, while driving greater efficiencies of scale and therefore profitability. We process roughly 60% of retail transactions in the country. With the acquisition of RMT, one of the three major prepaid electricity providers in the Cape Town area during the fourth quarter of 2009, we are able to offer additional value added services such as bill payments, insurance, loans, prepaid utilities anytime and alike, driving a higher revenue and profitability going forward. We now have over 300 billion shares including all of the largest utility companies on our network and giving a significant distribution base and breadth of products. We would expect further growth and penetration over the next few years specifically targeting the many smaller [bill] issuers in South Africa. The mandatory upgrade to EMV compliance in South Africa has resulted in an opportunity for us to replace the non-compliant point of sale devices with our new biometric UEPS enabled devices and we have engaged the largest retailers in this regard. The replacement cycle is expected to take between 24 and 56 months. Our wage payment initiative is making steady progress. We now have four building blocks in place to make a large scale marketing push into the marketplace, and we received a MasterCard issuing certification during the fourth quarter of 2009. We are currently in the process of enrolling all 30,000 employees of South Africa’s largest security guard company and further business development efforts are underway to sign additional corporate customers. We are currently in the process scaling up our business development team in order to pursue this market opportunity more aggressively. To address this market segment we are targeting large trade unions, payroll companies, macro lenders and large individual corporate customers. The final leg of our strategic plan relates to international expansion and new technologies. Starting with our existing projects, our UEPS team has delivered in excess of 1.1 million cards in Iraq, out of 1.5 million cards ordered to-date. Our local partners have thus far enrolled in excess of 600,000 welfare recipients. We expect Iraq to contribute to our financial result in fiscal 2010 and with the Iraqi government indicating the need for additional cards, ATMs and point-of-sale terminals, we are very optimistic about the prospect in this country. Our adoption rates in Ghana continue to surpass our expectations with almost three million cards having being delivered and 40 banks already adopting the system. Ghana have issued approximately 350,000 cards thus far as both government and financial institutions are focusing on building up the infrastructure and access points before they take up a more aggressive card issuing push. In addition to our recurring maintenance and license fees and additional hardware orders with the Central Bank, we are currently exploring incremental opportunities with local partners. To pursue transaction based projects focusing on specific applications such as mobile banking, prepaid utilities and bill payments giving us an EasyPay equivalent network in that country. Namibia and Botswana are deploying Phase II expansions and in Nigeria we have finally recommenced discussions with additional participants. In Malawi, we have now issued an amount of 600,000 cards most of which have been used in the double UEPS environment. We are also pleased with the progress we made by our BGS acquisition, both in terms of restructuring the business model towards more of a transaction based and in terms of pursuing new business development opportunities. We expect the transition to a transaction model to take another 12 to 24 months. We have successfully completed our initial palette with State Bank in the Astrakhan province of Russia where we issued over 70,000 cards and we are able to demonstrate the full breadth and depth of our technology, which included transportation, as well as payment, as well as biometric identification. State Bank has subsequently asked us to expand the palette to additional provinces and we are separately in preliminary discussion with them to set up a joint venture to address Russia’s desire to create a national payment system. Given the certain scope of this project however over, such negotiation and implementation could take time. Outside of Russia, BGS continues to actively pursue new project in some of its CIS space as well as other geographies. Looking ahead to our prospective other geographies, our new corporate structure allows focus and dedicated teams to pursue multiple opportunities within the targeted geographies. We managed our prospect using a portfolio approach with some countries at earlier stages of discussion and others at more advanced stages. We have over a dozen prospects in our portfolio and we will expect to convert at least one or two of these over the next 12 to 18 months. Finally in terms of new technologies, our VCC Solution completed proof of concept with live demonstration taking place in the fourth quarter of 2009. We have a pipeline of opportunities, which we are pursuing in some developed markets and remain cautiously optimistic about our prospect over the next few quarters. Similarly, we have completed functionality of UEPS in a mobile environment and are actively pursuing potential applications with our existing and potential customers in multiple geographies. In summary, we are very pleased with the performance of the group in fiscal 2009 and we are well positioned to sustain long-term growth given our path line of opportunities and with that let me turn it over to Herman. Herman, over to you.
Herman Kotze: Thank you, Serge. I will discuss the key results and trends for the fourth quarter of 2009 compared to the fourth quarter of 2008. We’ve also updated the frequently asked questions we historically put in our press release, but now can be found on our website www.net1.com. Again, my discussion will be based on our results on a constant currency basis, as this provides the best indicator of the group’s actual operating performance. In order to review our results in US dollars and in US GAAP, please refer to our Form 10-K and our press release filed yesterday evening. For Q4 of 2009, our average rand dollar exchange rate was 6% weaker at ZAR8.26 compared to ZAR7.80 for Q4 of 2008 but an improvement from ZAR9.96 in Q3 of 2009. Over the past few months the rand has continued to strengthen and is currently trading below ZAR8 to the dollar. Any fluctuation in the rand obviously influences the dollar equivalent results of the operations, which is why we provide you with constant currency information in our press release as a clear indicator of our operating drivers. I am pleased to report another quarter that reflects solid fundamentals of our core business. Apart from the currency depreciation, there were a number of sectors that has a significant bearing on the comparability of our year-over-year results. Such factors include adverse currency, lower tax rate last year, contribution from BGS in 2009 which was not part of the group in 2008, increased intangible amortization expenses related to BGS and RMT acquisitions, high margin contributions from Ghana in 2008 and greater stock compensation expenses. We use our non-GAAP measure, called fundamental earnings per share, which eliminates some of these one-off items that impact year-over-year comparisons. We typically exclude the effect of irregular tax changes, amortization of intangibles, stock compensation charges and unusual non-operating or non-cash flow items when we calculate this measure. On a consolidated basis, for the fourth quarter of 2009 and full year 2009, we reported revenue of $62 million and $247 million, an increase of 5% and 19% respectively in constant currency. Similarly, fundamental EPS was $0.58 and $1.47 respectively in the fourth quarter and full year of 2009, representing constant currency decline of 1% and growth of 16% respectively. We measure the group’s profitability by looking at operating income and margin by segment. On a consolidated basis, operating margin adjusting for one-time items and intangible amortization was 41% during the fourth quarter, a decline from 46% last year, primarily due to lower margins in our hardware and software segment. Let me now spend a few minutes on our segments. Transaction-Based Activities posted revenue of $59 million during Q4 of 2009, a growth of 9% in local currency. Our core welfare business including merchant acquiring grew 11% year-over-year or the number of EasyPay transactions process increased 10% to $147 million. Segment operating income grew 12% from Q4 in 2008, while operating margin improved 90 basis points to 59%. Growth in revenue and profitability was driven by higher pricing on our welfare contract, continued adoption of our merchant acquiring network and greater contribution of delivery services at EasyPay. We posted an improvement in segment profitability, despite including pre-funding costs during the month of April. Key metrics driving our welfare business during the fourth quarter includes first; the number of beneficiaries paid, which was 3.8% lower compared to the fourth quarter of 2008 and in line with our expectations following our new contract with SASSA during this quarter. As a reminder, we are now contracted to a guaranteed minimum number of beneficiaries paid, thereby limiting any downward pressure on revenue due to a reduction of beneficiaries serviced. Second, the price concession [afforded] to SASSA and third, continued strong performance of our merchant acquiring network. In the fourth quarter, we processed a total of ZAR2.9 billion to the network on a completed pay cycle basis, representing 51% year-over-year growth. In addition, the productivity of our 4,427 installed terminals improved to 1,076 transactions processed through a point-of-sale device during a complete pay cycle compared to 956 transactions during the fourth quarter of 2008. While Serge discussed the general mechanics of our new SASSA contract earlier, I want to add one further clarification on the new pricing arrangement in the contract. Our previous contracts included a component associated with the cost of pre-funding in the price, which was passed on to government. Under the new terms, the price concession granted to SASSA largely represents the cost of pre-funding, which is no longer required to be done by us. This is the primary reason why we expect our current contract to be neutral to the bottom line. In the fourth quarter of 2009, EasyPay processed 147 million transactions with an approximate value of ZAR32 billion, an increase of 11% compared to our 153 million transactions worth ZAR50 billion posted a year ago. Growth in the number of transactions was lower than in each of the previous three quarters, primarily as a result of slower retail spending due to the recessionary environment, but offset by growth in our value-added transactions. South Africa has one of the largest prepaid mobile and utility markets in the world, and we believe through our integrated EasyPay offering, we can generate additional revenue streams from the provision switching services to retailers and other sellers of prepaid airtime and electricity. The average fee per transaction during the fourth quarter of 2009 was ZAR0.21 consistent with our prior year period. We expect the average fee per transaction to remain consistent during the first quarter of 2010. EasyPay operating margins continued to improve, as the efficiencies of our new operating platforms and expense management systems bear fruit, and as we continue to sign up more bulk payment issuance and other value-added service providers. EasyPay’s operating margin improved to 45% during the fourth quarter of 2009, compared to 33% in the fourth quarter of 2008, mainly due to higher volumes of value-added services posted during the quarter and economies of scale. Excluding the amortization of intangibles, EasyPay margin improved 11 percentage points to 55% when compared to last year. Our Smart Card Accounts segment posted revenue of $8 million in the fourth quarter of 2009, a 4% year-over-year decline in constant currency. The total number of active Smart Card Accounts were $3.9 million, a decrease of 3.8% from $4 million last year. Operating margins for the segment remained consistent at 45%. Turning to our Financial Services segment; revenue in the fourth quarter of 2009 declined 53% year-over-year in constant currency to $1 million, primarily reflecting the style of our traditional microlending business to Finbond in March 2009. We have final agreement with Finbond under which we can install our UEPS technology and point-of-sale devices for the marketing of prepaid electricity airtime and bill payments at all of the 178 branches. We completed this installation over the past couple of months, and now have the ability to leverage the branch and broker network to market our wage payment and EasyPay bill payment solutions. We recorded a $1.2 million gain on the sale of this business. Segment operating margin excluding such a gain for the fourth quarter of 2009 improved to 30% from 27% in the fourth quarter of 2008, driven by the elimination of the low margin traditional microlending business. Our final operating segment is Hardware and Software, which traditionally includes BGS and revenues that occur on an irregular once-off basis and can make it difficult to predict sales from year-to-year. Segment revenue in the fourth quarter of 2009 was $14 million, representing 7% year-over-year growth in constant currency. Revenue growth was driven by $6 million contribution from BGS, but offset by the absence of over $3 million of high margin revenue from our Ghana contract in the fourth quarter of 2008. The [EBIT] changing contributed to the segment’s cause volatility in operating margin from quarter-to-quarter. Operating margin for the segment decreased to minus 20% from 15% in the fourth quarter of 2008, mainly due to seasonality in BGS profitability, amortization of intangibles, the absence of high margin contributions from Ghana and pressure on certain hardware commodity products. Excluding the amortization of intangibles segment operating profit declined to 3% in the fourth quarter of 2009 from 21% a year ago. Moving to our equity accounted investments, our JVs in Namibia and Botswana, Colombia and Vietnam continue to grow inline with our expectations and are beginning to deliver on our Phase II expansion plans. Loss from equity accounted investments narrowed to $77,000 in the fourth quarter of 2009 from $235,000 a year earlier. Historically our cash flow was subject to fluctuations as a result of the timing of commencement of our monthly welfare payment activities and pre-funding requirements. During the fourth quarter of 2009 our cash flow generation improved significantly with the elimination of our pre-funding requirement effective from May 1, 2009. We continue to provide one to two days pre-funding for the merchants who will assist us with the distribution of grants through the merchants acquiring network. During the fourth quarter of 2009, we generated cash from operating activities of $89 million and include capital expenditures of $1 million. As of June 30, 2009 we had $221 million of cash and cash equivalents on our balance sheet. The business remains very cash generative and I remain comfortable that we have sufficient liquidity between our cash and short-term facilities to fund our working capital requirements. Earlier this month, we announced the repurchase of 9.2 million shares owned by Brait and its affiliates for $125 million. Following this transaction our cash balances stood at $96 million. In addition to the Brait repurchase during the fourth quarter of 2009 we brought back approximately $16 million of our common stock and our previously authorized share repurchase program. Our fully distributed share counts for the fourth quarter of 2009 was 55 million shares. Following the share repurchases we expect our share counts for fiscal 2010 to be approximately 46.5 million shares. In conclusion we are excited about the future opportunities and prospects for our business both in South Africa and internationally. To that effect in fiscal 2010 we expect to grow our constant currency fundamental earnings per share by at least 20%, which includes the contribution of the lowest share count as a result of the Brait repurchase. With that operator please open the call for Q&A.
Operator: (Operator Instructions) Our first question is from Dave Koning of Baird. Please go ahead, sir.
Dave Koning - Robert W. Baird & Co.: I guess one of the biggest positive surprises to us in the quarter was that sequentially it looked like revenue program was actually up a little bit down despite the new contract and it looks like about ZAR25 per grant during Q4. Is that amount sustainable through fiscal 2010?
Serge Belamant: All right, Dave. I think it is probably sustainable. In the fourth quarter there were a number of final adjustments that were made also in accordance with a previous contract. You recall that new contract really commenced on April 1st, but some of the final adjustments that were due to us in accordance with our previous five contracts were processed and made but those were in now way significant enough to have made a significant difference on the average revenue per grant for the quarter. So, going forward I think what you’ve seen for the fourth quarter is probably in line with what we expect during the next four quarters of 2010.
Dave Koning - Robert W. Baird & Co.: Great and do you have any comments that you could share just on the minimum number of beneficiaries that you get paid on. I mean, are you pretty close right now to that minimum beneficiary number or could it actually go down?
Serge Belamant: It could go down somewhat. We are above that minimum right now. We actually set the minimum number when we negotiated, at the level that the beneficiaries were in December 2008. We use that as a base line number to determine going forward the level beyond which it cannot drop.
Dave Koning - Robert W. Baird & Co.: Okay good. So in another words it really can’t. It can possibly go down that much?
Serge Belamant: Not that much. No.
Dave Koning - Robert W. Baird & Co.: Okay. And then just on the guidance, just to make sure we get the math right. If we started $1.47 that you did in fiscal ‘09, if we grow that 20% we get the ballpark $1.77, but then with the rand where it is today, it’s moved about 10% relative to ‘09, you know seems that that dollar $1.77 could go to $1.90, $1.95. Is that kind of the math that we should be thinking of?
Herman Kotze: Well, for us we like to think of our guidance in constant currency terms. So, I would not want to include any currency appreciation or depreciation effect. Obviously right now, with the rand having strengthened over 10% in the last quarter or so, your math would make sense, but of course anything is possible and the opposite could happen as they did last year. So, for us from an official point of view we would like to stick to the constant currency guidance.
Dave Koning - Robert W. Baird & Co.: Okay, that’s fair. And then, just the last thing on the tax rate, in ‘09 it ended up averaging about 33%. Are you expecting it to go back to kind of 34.5% rate for fiscal 2010?
Herman Kotze: Yes. I do. There are a couple of taxation effects by the way as they relate to the Brait repurchase, as a result of the structure of the transaction and you may recall that we used our local currency and we did the shake ride on the JSE. There may be some deemed dividend implications of having made the transaction in the manner that we did in order to utilize our rand reserve that will become evident during the course of the next year. Obviously, we have to calculate all of our foreign tax credits. These are fairly complex calculations, but our tax advisors will obviously advice us on. But as a general rule of thumb there is no reason barring any significant permanent differences, why our tax rate should deviate from the fully distributed rate of 34.55%.
Operator: Our next question is from [Tim Wodge] of Robert W. Baird. Please go ahead.
Tim Wodge - Robert W. Baird: Just, I guess, just with could you pay in terms of transaction growth has been 10% or 15% the last four quarters. Within the repo environment, do you think that that can stay at double digits for fiscal 2010?
Herman Kotze: The number of transactions at EasyPay, obviously we’ve actually had what I think in my view is quite a weak quarter, simply because in South Africa in the month of the winter season, our first quarter is typically strong depending on when the Easter holidays are. We normally have a pretty strong third quarter. So sort of January to March quarter, and obviously the second quarter being December when we have our summer holidays, those were well traditionally the much stronger quarters. They are looking forward. I think that Q1 of 2010 will be fairly slow in my view, given that South Africa is also in the middle of the recessionary cycle right now, but it will probably pick up again significantly towards the end of the year we would hope. We are not really that focused right now on growing the number of transactions that we process through EasyPay. That number will continue to grow as debit and credit card adoption increases amongst the general population. For us it’s more important right now to focus on the value-added services that we can process through the EasyPay switch, simply because that’s the high margin business that we would like to pursue.
Tim Wodge - Robert W. Baird: Margins, they are about 55% actually amortization this quarter. Can those be somewhere in the ballpark to 60% to 65% over time?
Herman Kotze: Over time yes, we would aim to get to those sort of level, but I think it will take us another 12 to 24 months to get there.
Tim Wodge - Robert W. Baird: Then, on BGS, can you just remind us of the Q1 seasonality, I know it’s a seasonally weak quarter? Should BGS be profitable in fiscal 2010, I know the amortization is large, but there was a GAAP loss I guess in ‘09? So just I guess expectations for Q1 in BGS and then just the profitability of fiscal 2010?
Herman Kotze: Q1 in BGS has traditionally been quite weak, that corresponds with the European holiday season. So a lot of our customers and clients traditionally would buy from us almost that active during the first quarter of the fiscal year. Moving into the second quarter; that specifically our strongest quarter in BGS, simply because that’s the quarter during which our Russian customers particularly do most of their procurement as they move towards the end of the budget in fiscal year. So I think that Q1 will be pretty slow for us, pretty flat, but excluding the effect of the amortization of intangibles, we would still expect BGS on the full year basis to be profitable.
Tim Wodge - Robert W. Baird: Then, finally, you guys still have $2 per share of cash. Any thoughts on any of the deployment there, or are you just comfortable with having them on the balance sheet right now?
Herman Kotze: At this point in time, we are still staring at the blank list by the $165 million share repurchase over the last six months. So there is always a use of cash flow, whether it’s for our M&A strategy, we obviously like to have a bit of a worksheet in place or whether we decide to recommend our share repurchase program when it makes sense to do so. There is a method in the maintenance in keeping that amount of cash on the balance sheet.
Tim Wodge - Robert W. Baird: Okay. Great, guys.
Operator: Our next question is from Sean Cain of Morgan Keegan. Please go ahead.
Sean Cain - Morgan Keegan: I have a couple of questions. First of all, what do you see including all components for sales in BGS? Then, secondly, can you give us an update on your "card not present" initiative with MasterCard?
Herman Kotze: On the sale of the BGS, I think in the next 12 months as we transform the business from being one that is primarily focused on the sale of hardware and software licenses into something that is similar to the rest of the Net1 Group. In other words a transaction focused and transaction-based activity. The contribution made by the sales of hardware and software will continue to be important to us obviously as we transform it, but having said that, we are not going to put all of our efforts and energy into the sales of segment that we want to transform. So there could be a weakening in terms of the revenue or the sales number that we see reported from BGS as we transform into the financial or the transaction-based processing side. The margins may differ materially as well over the next year as we transform from the one business module to the other, but I think it’s important to note that the existing customer base that BGS service has obviously remained in place. They have a number of customers in a number of countries that those remain loyal customers. They are continuously exploring new opportunities in other geographies, which obviously the sale cycles in the utilities can be long so it’s difficult for us to put any specific (inaudible) projection, but all new projects that we are evaluating right now, whether it’s from the BGS side or whether it’s from the other business within it one focusing on new geographies point of view, those are all transaction-based initiatives where we’d obviously like to earn a transaction fee based on the number of transaction processed to other than on the number of sale of hardware and software.
Sean Cain - Morgan Keegan: Can you give us a quick update on your "card not present" with MasterCard initiative?
Herman Kotze: Yes. Well, if we now focus on the VCC a little bit, the first thing we have to clarify is that the MasterCard relationship is based on the fact that we cannot issue MasterCard branded credit cards. So MasterCard themselves have nothing to do with VCC. So I don’t want to sort of imply or we have not implied that we have any sort of agreement with MasterCard vis-à-vis VCC. What we use the MasterCard credit card for is because we require a MasterCard issuing a facility for us to be able to prove that VCC can work from anywhere in the world by routing "card not present" transaction through the Visa or the MasterCard networks without any changes being required. On top of it, as you know we also use the MasterCard in South Africa as part of our Grindrod initiative in order for us to be able to brand some of our cards with the MasterCard logo, but this is a different initiative to VCC. Now, going back to VCC, what’s important to understand is that we have now made contact with numerous institution organizations in the US as well as in Mexico. We have been talking definitely to most of the large cellular phone providers in order for us to get a feel in terms of their own strategy vis-à-vis card or payments, let’s call them by cell phones rather than any other method. We’ve also been talking to a number of very large card issuers to try to also understand, are they believe that payments should be handled over the cell phones. Now, at this stage we thought mentioning any sort of names and we’re talking about some organization that they have got to any 30, 40 million accounts. So we’re talking about some large players. There is absolutely no doubt that we have had more than positive replies from about 80% of all the people that we’ve spoken to vis-à-vis our VCC solution. They believe it is incredibly innovative, they believe it’s something that would be easily picked up by customers and like many of the other technologies which they have been using at this point in time or even considering to use and therefore we feel very confident that we are going to make a breakthrough in a very short-term with at least one or two customers with a little bit of luck. Obviously, these types of sales cycles take time for the simple reason that you have got to convince sometimes an issuing bank, you may have to convince a cell phone operator and of course you need to be able to have a financial model that suits both of them. But at this grant we feel quite good about the fact that VCC is demonstrable, actually operates that people like what they see and candidly between the US and of course I am being keen on actually penetrating the US first and foremost. We know we will have some successes outside of the US as well, but at the moment we are really trying to see if we can’t get a breakthrough in the United States itself and then focus perhaps on countries like Mexico and Europe.
Operator: Our next question is from [David Toget] of First Manhattan Corp. Please go ahead.
David Toget - First Manhattan Corp.: Herman your guidance indicates that you expect meaningful contribution at fiscal ‘10 from new country implementation. Is that based on business you have already signed and/or based on business you expect to sign in fiscal ‘10?
Herman Kotze: It’s definitely a business we expect to sign in fiscal 2010. There are number of initiatives underway between Brenda her team, the BGS team and other business units were active internationally, as an example our VTU and our [SIM team]. Iraq obviously will become I think a much bigger contributor to the groups results next fiscal year and that’s going to be one of the drivers, that will drive the sort of 20% guidance that we’ve given and added to that of course the reduce share count, as well as the increase in our activities in South Africa. We feel really comfortable that we can get to that 20% level.
David Toget - First Manhattan Corp.: Given the long sales cycle you’ve had on some of these international deals. Is the 20% an extremely conservative number or is there risk around timing of some of these new deals signing?
Herman Kotze: There only is a bit of risk, but we typically try to be as conservative as we can be and bearing in mind that there is at least as we say during the call when we announced the bright side that 18% kick in terms of the reduced share counts for us, I don’t think its going to be too hot or we are not too reliant on having to absolutely sign a major new territory in order to achieve our total.
Serge Belamant: David just maybe to up you out a little bit because you’ve been with us for a very long time. I think it’s important to note that Brenda’s as well, her initiatives in places like Iraq and Ghana. I think have been embedded down extremely well. Now that doesn’t mean that she is not actively involved right now in a number of other territories without naming any of them, but there are number of territories that she has been definitely in for quite a while and are certainly maturing very fast, but she is recognized. At the end of the day the potential of countries like Iraq where today they are issuing in excess of 6,500 cards a day, which does account for substantial amount of cards to be issued in a very short space or time and considering that that revenue model is based on transaction fees, but now we are getting a percentage of the transaction fee that’s being charged plus of course the money that we make out of the cards in the sales of terminals et cetera, et cetera. I think Brenda has realized and certainly to me has my full backing that we should certainly bed down these incredible growth areas in order to get them into basically operational mode where they can kick start spitting out cash the way that our cash payments systems in South Africa are spitting out cash and really that’s where we want to go to. In the meantime of course whatever extra time they have, they obviously are putting down a board of activities or let’s call their potential countries in which they can go into, some of which are fairly sizable and of course the idea would be to convert them into Ghana or Iraqi top models. So, I think when you say, we’re being conservative, Herman mentioned 20, you did mention 10 that came out of simply the question that we have less shares. Therefore in theory the number that Herman put forward all things being equal should be conservative rather than aggressive. So, like usual we would be a little disappointed if we would not do a little bit better, but we know that with you guys out there, so it’s better to be rather under than over.
David Toget - First Manhattan Corp.: Then Serge on WPS, it has been developed quite a while and you now finally have the MasterCard [payment], when will this become material. Years ago you talked about having I think 1.5 million accounts over a multiyear period, is that still a reasonable objective?
Serge Belamant: Once again, I think you have put your finger on all of things. One of the things that candidly we’re being as you know working hard in getting was all to put all of our ducks in a row to be able to do this job. I don’t think we are short of customers and I don’t think we’re short of the opportunities. What we didn’t have, we didn’t have the banking license, we didn’t have the certification for MasterCard, we didn’t have the certification in [Toopaza], which is the South African basically banking regulatory processes and all of this, believe it or not, by hook or by crook, by intent or by simply anything else took us quite a bit longer than we thought. There is no doubt that the fact that the four South African banks here do run, for like of a bit of word a very, very close team, they don’t particularly like it when other people are going to challenge their space. With both control of this and now we are able to actually roll out. I think government did mention that we’ve already got a very large customer that has around 30,000 employees and I know that that particular deal is done and that is actually now rolling out very, very, very fast. Now, we believe that those particular deals are going to come now fast and furious to us. There are a lot of people, that have been waiting for us to being able to do it, we did not want to actually launch any thing on the large scale until we knew that we could support the initiatives and you only get one shot at this and if you don’t do it properly from the beginning, you’ll end up with a bad reputation and then you’ll end up by not getting any extra business. We believe we’re particularly ready now to actually do this. I don’t want to upset you in any way, but you know that now there is also an EMV certification that we’re also getting. So, at the moment we’ve been certified by MasterCard and a number of other players, of course for our [mag-stripe] technology, which is all we need for now. We are also negating our EVM certification as well, because we know that sooner or later we’re going to move across, but at least, we now have a product that we can actually sell and deploy without any impediment and that to me is the exciting piece. The actual customers have always been there and candidly the South African profile has not changed. The people that we are not banked last year or the year before are similar banked today. So it’s an open market for us to really make big penetration.
David Toget - First Manhattan Corp.: Just finally, Serge, can you take us inside what SASSA is thinking at this point. Assume it’s been empowered now for a number of months. What is the likelihood that they might actually use your tech backbone and some of the grants penetration technology over the next year or so?
Serge Belamant: Again a good question. I know you have been following SASSA for quite a while. You know that they have hit a few new problems within SASSA where by the way to suspend the Managing Director, our close friend, Fezile Makiwane, as well as a number of these sort of Chairman or Managing Director stuff. So once again they are going through a little bit of trouble whatever, but new people now is coming into SASSA to sort of do a bit of care management and to try to unwind. What has been happening under the sort of reign of Fezile and that would take them in our view of good three to six months before they even actually get to a stage of being able to say, this is where we are and this is the way we should grow forward. So what’s upsetting to us is that we would have love it for them to make a final decision and to say, let’s go for this thing and actually let’s get it done, let’s put in the new tender. Let’s put the tender out because it’s the only way we’re going to be able to grow this business unless if we capture other provinces from other party. All that’s happening to us at the moment is that all of these delayed are simply re-giving us what we have already got for another period of time can be limited and could be unlimited. It could be the next year, two years, four years, five years. So we are hoping that under the new Zuma government, the changes will be of such a nature whereby they will be positive and definite directions in terms of what is it that SASSA wants to achieve. Now, we don’t believe that those goals have changed, and therefore, we do not believe for one second that we would not be as a number one provider either of directly of technology or of payment services on behalf of SASSA or any new government entity that is going to be given the task of actually performing that. So we are little bit frustrated that we haven’t been given the opportunity yet to take over our country and certainly that is something that we would be welcoming whereby if there was a process that we run from A to Z and actually being finished, we know we should come out better that where we are now. In the meantime, we’ve got to simply keep on doing what we are doing and keep on making the sort of income that we’ve been making out of SASSA. We are not going to be able to grade very big and still we have the opportunity to take over more of the territories.
David Toget - First Manhattan Corp.: If you fast forward the margin 2010, what sort of economics do you expect on another one year renewal with SASSA?
Serge Belamant: Nothing is going to change, David. You are right, I mean, obviously you have been thinking about this. The chances are that there will be another extension simply because of what has happened within SASSA. So these guys aren’t going to be able to do anything in terms of providing, developing and even publishing a tender, let alone adjudicating and awarding anything in the next 12 months or 18 months. So in my view there is no doubt there is going to be a further extension, very positive for another 12 months, maybe even for longer, I hope it’s not too much longer because otherwise it will keep us out of actually growing this business even faster if we actually being get out of it by simply by then giving us another 12 months. In terms of the economics, I don’t believe the economics are going to change at all from now on until the new tender is out and once the new tender is out, we know that our economical let’s say that the way that we have tended in the past is that certainly we will reduce our fees but by definition, we would double the number of beneficiaries. So at the end of the day we are not going to reduce the fees by half, but if we can double the beneficiaries, we have the capacity in the network. We would end up by making substantially more money than what are we making now, simply because we are the contractor that today has 9000 points of service and 65% of the point of service that can actually drop (inaudible) through retail. So there is no one out that can actually do this job and every year that goes pass David, we actually become bigger and bigger in terms of infrastructure, not smaller and smaller, so it’s actually making it even more and more difficult for any of our competitors if we relegate any real ones to actually come into this market and compete simply because they don’t have that infrastructure and that’s not only a question of building infrastructure through money, signing up the largest retailers in the country is not something that happens over the couple of weeks or couple of months. So we feel pretty good that the economics would remain the same and hopefully with a little bit of the new tender coming through, we must then been able to actually with a bit of luck to increase once and for all to get a bigger chunk of that market for ourselves.
Operator: (Operator Instructions). Our next question is from Dave Koning of Baird. Please go ahead.
Dave Koning - Robert W. Baird: Just a follow-up on one of the David’s questions about the contribution from newer contracts. Is the best way to think about the 20% EPS growth this year that the 10% from share repurchase and then maybe half each of the rest, I guess 5% each from kind of the core business and then 5% from newer country wins? Is that maybe a simpler way to think about the contribution?
Serge Belamant: Dave, it’s true. I don’t think we’re going to go into more details than we’ve already provided. So I think we’ve said that 10% will come from the fair buyback and then the balance will be a mix of contributions from the various sources.
Dave Koning - Robert W. Baird: Thank you.
Serge Belamant: Operator, we have time for one last question?
Operator: There are no further questions. Thank you.
Serge Belamant: Okay, thank you for joining us on the call. Replay for the webcast should be available on our website www.net1.com. Thank you.
Operator: Thank you. On behalf of Net 1, that concludes today’s call. You may now disconnect your lines.